Gabriela Burdach: Good morning. My name is Gabriela Burdach, and I'm the Investor Relations Director at InPost. Welcome to InPost Third Quarter 2025 Earnings Call. The usual disclaimer, today's call includes forward-looking statements that are subject to risks, and it is possible that the actual results may differ materially. This call is also being recorded, and the recording will be available on our IR website shortly after we wrap it up today. After the slides, we will have a Q&A session. Today's presenters are Rafal Brzoska, CEO; Michael Rouse, CEO, International; and Javier van Engelen, CFO of InPost Group. I am now pleased to hand over to our CEO, Rafal, over to you.
Rafal Brzoska: Good morning, everyone. Thank you, Gaby, and thank you all for joining us today. Q3 was another very strong quarter for InPost Group. We delivered record-breaking volumes and revenue growth while maintaining solid margins. Let me start with the highlights first. In the third quarter, we handled 351 million parcels, an increase of 34%. And this is not just a big number. It's a reflection of consistent merchant adoption, customer loyalty, relentless focus on quality as well as strategic acquisitions. At the top line, we generated PLN 3.8 billion in revenue, up almost 50% year-on-year. As you can see on the pie chart, already 54% of group revenue came from outside Poland. International diversification has become a core top line growth engine for InPost. Our growth translated into profitability in terms of adjusted EBITDA reached PLN 1.1 billion, up 24% at a solid 28% margin. The 3 messages I want you to take away are simple. First, Poland continues to deliver strong volume growth supported by high customer loyalty and merchant satisfaction. Second, we are accelerating across Eurozone with growth broadening as we build scale. And third, the U.K. is hitting new records in volume and revenue accelerated by the Yodel acquisition. Let's shift focus to one of the key engines behind this progress, network expansion. Our network is going from strength to strength. At the end of Q3, we operated almost 90,000 out-of-home points. ATM network is the backbone of our strategy. Therefore, we keep expanding rapidly, adding nearly 13,000 new machines in the last 12 months, strengthening our leadership position. While Poland continues to grow steadily, we are accelerating in Eurozone, and we continue to expand at speed in the U.K. On PUDOs, you will see a slight but intentional overall decline as we optimize our network to be smarter and more efficient. As visualized in the map, InPost is the APM leader in Poland, Eurozone and the U.K. Yet that leadership isn't just about the number of APMs. It's also about the structural advantage we create through a focus on consumer convenience, consistent quality and merchant buy-in. Let's move on to the next slide, which compares our performance to the market trends. The picture here is clear. We continue to gain market share across all our geographies with a notable acceleration in the last quarter. Starting with Poland, the market grew by 6% and our volume increased by 10%. It is important to flag that for many years, we have consistently outperformed the market despite being the largest e-commerce logistics provider in Poland. In Eurozone, market share growth is even more striking. The market was up 7%, while impulse volumes increased by 24%. Excluding Sending, the company we acquired in July, growth was still at an impressive 17% year-on-year. And in the U.K., our volumes more than tripled with the integration of Yodel, yet also on a like-for-like basis, we grew by 19% in Q3 2025. This broad-based market share gains are a signal that we are reshaping the market, and we are creating a new out-of-home habit outside of Poland. The next slide illustrates something I always emphasize. It's not just about the lockers. Let's turn to our top-rated mobile app, which plays a key role in building customer loyalty. The InPost app is now available across all our main markets. We recently launched it in Spain and Portugal, and the rollout in Italy is just around the corner. The number of app users keeps growing steadily in the U.K. and in France. We now have twice as many active users compared to the previous year. Why does this matter? Because it's a major engagement driver. Mobile app users place around 40% more orders than those who don't use the app. Our focus goes beyond downloads. The real value lies in functionality. We are continuously developing and adding new features and the strong emphasis on user experience is what truly sets us apart from the competition. With that, let's turn to Poland, where growth continues to be fueled by deep brand loyalty and customer trust. Poland continues to deliver. In Q3, parcel volumes increased by over 10%, driven by key merchants and international marketplaces. Our network strength remains unmatched with over 27,000 APMs and being the #1 in unique locations. Since the utilization rates remain high, we are not stopping here. Our 4 million compartments give us 70% market share and service quality stays exceptional with 98% of parcels delivered next day. This is the flywheel effect in action, scale, efficiency and customer trust driving sustainable growth. Let's move to the next slide. The numbers speak for themselves. Customers simply love, the convenience we deliver. 87% of online shoppers choose IPO as their most preferred delivery APM. That's leadership built on trust and simplicity. On top of that, our user base keeps growing. We've now crossed 20 million APM users and 15 million app users in Poland. And here's an interesting fact, 95% of online shoppers say that having access to InPost APMs actually motivates them to shop online. This is what being a loved brand looks like, deep loyalty, strong engagement and therefore, a clear competitive edge. I'll now hand it over to Michael for an update on our international business. Thank you.
Michael Rouse: Thanks, Rafal. Good morning, everyone. Across our Eurozone business, the pieces of our strategic transformation are coming together. We continue growing and gaining market share in line with our strategic priorities focused around B2C and APM growth while gaining access to door, which allows us to achieve broader consumer coverage. Volume in our Eurozone segment increased by 24%. This was supported by acquisition, but also excluding sending, the growth was at an impressive 17% in Q3 '25. For the first time, the share of B2C and total volume exceeded 50%. It was less than 40% only 3 years ago, so fantastic progress. We continue to see improving APM flow rate, i.e., PUDO volume conversion to APM, a critical enabler of long-term profitability for us, even though PUDO still make up 60% of out-of-home points across Eurozone markets, 46% of all out-of-home volume now goes through APMs. In France, where PUDOs and APMs are nearly balanced, the flow rate to APMs has sustainably surpassed 50%. So let's have a look at Eurozone network and Mondial Relay brand on the next slide, please. In Q3, we expanded our FPM network by 53%, adding almost 6,000 machines over past 12 months. Across Eurozone, we remain the #1 locker network. While we continue adding new PUDO points, we're also closing those located too close to our APMs as part of our network optimization and conversion strategy. We're on a good path to replicating the Love brand in France. Customers are clearly shifting towards out-of-home with lockers gaining popularity. And as you can see on the chart, 75% of customers indicated Mondial Relay as their preferred option for delivery and parcel sending. And what's more, we achieved our highest NPS score of 53, significantly outperforming all other locker suppliers and getting closer towards the Polish benchmark level. Next slide, please. Now focused on the U.K., we have more than tripled our volume as the integration of Yodel allowed us to attract new customers and gain market share. Even on a like-for-like basis, we achieved impressive growth and market share gains, way above the market performance at 19% volume growth and all of this while actively removing extra and ugly parcels in order to streamline our operations and a critical transformational imperative to prioritize quality. Volume growth has been driven by acceleration in out-of-home deliveries, especially through APMs as well as by B2C segment. So similarly to Eurozone, we're expanding in line with our strategic priorities. We're continuing to rapidly expand our out-of-home network as our deployment hits 100 per week run rate. In Q3 '25, we increased the APM network by 45%. In the last 12 months, we added 4,000 APMs, further widening the gap between us and the second player Amazon and nearly 4x larger than the next nearest competitor. So let me give you an update on our path to one network and Yodel integration on the next slide. We have made significant progress on Phase 1 of the Yodel integration. We consolidated from 83 down to over 50 shared depots handling to-door, APM and PUDO parcels, and our teams are now fully trained to manage all product types. To boost capacity and speed ahead of peak season, we also opened 2 additional sorting hubs in the Midlands and Southeast earlier than planned. However, as noted in late September, we encountered a technical issue during the Phase 1 integration that resulted in a customer backlog. While this was resolved by early October, it was an operational setback. Consequently, we have made the decision to pause further integration work for the remainder of '25, resuming Phases 2 and 3 in Q1 '26. This ensures stability during a critical trading period of peak. A critical pillar of our transformation is rebuilding the consumer and merchant trust that was historically lost through Yodel. We simply cannot compromise on this, especially with the peak period. Therefore, as we enter peak season, our priority is unequivocal, quality over volume. Because certain milestones were not fully achieved during the initial network cutover, we're actively investing in necessary manual resources for Q4 and early Q1 to bridge this gap and guarantee service levels due to the lack of automation. We have a clear road map to restart Phase 2 and 3 remaining milestones in mid-Q1. And remarkably, demand for peak volumes exceeded our available planned capacity. In fact, our prebook volumes were tracking significantly higher year-on-year before we implemented necessary constraints. This is a powerful segment of merchant confidence in our recent performance and transparency since acquisition. However, firmly adhering to our quality first pillar, we're exercising strict discipline, and we're capping Q4 volumes with certain merchants and temporarily removing large and irregular parcels from the network altogether rather than risking service standards. While this operational pivot impacts short-term profitability, our medium-term strategy remains intact. It is important to note that despite the integration pause, our current operating network is performing at a significantly higher service level than the legacy Yodel operation did at the same point last year. And in summary, we have a strong operational foundation for Peak and are prepared to continue the one network implementation post this season. I will now hand over to Javier for the financials.
Unknown Executive: Thank you, Rafal, and thank you, Michael, and good morning to everyone. Let's now see how all of this translates into the company's key figures for the third quarter of 2025. As Rafal already mentioned, it is a quarter with record-breaking revenue growth and solid operating profit margins. In the table on Slide 17, you see that in Q3, we delivered strong results across all of our businesses. Without getting into every number here, let me highlight a few things. As mentioned before, Q3 volume at plus 34% and revenue at plus 49% reflects strong organic growth and market share gains with additional contribution of Menzies, Yodel and Sending. Q3 adjusted margin came in at a healthy 28% and is a combination of a higher margin on the base business, offset by Yodel results. Adjusted EBIT increased by 6.7% year-on-year, while adjusted net profit decreased by 3.3%. I will go into details in a couple of slides. Turning to capital expenditures. In Q3, we invested PLN 356 million, 11% lower year-on-year. This is merely a phasing effect as on a 9-month basis, you can see an increase year-on-year and only a slightly lower year-on-year CapEx to revenue ratio. As mentioned in previous quarters, our CapEx remains primarily geared towards strategic investments in our APM network, representing approximately 60% of Q3 CapEx. Group free cash flow for Q3 returned to positive at PLN 172 million. Whilst Poland has improved its free cash flow contribution year-on-year and maintains a healthy adjusted EBITDA conversion, we have invested more in the international business as we continue to accelerate our expansion. Again, I'll dive into this later. Next slide, please. Here's another table with lots of details. So let me again call out the key numbers. Rafal and Michael already discussed the strong volume, revenue and market share progress across all segments. You will also note the strong profit margin progress in Poland, a 34% adjusted EBITDA increase in the Eurozone and a more than double adjusted EBITDA in the U.K., yet at a lower EBITDA margin. Let's review this in more detail, starting with Poland on the next slide. As already discussed, in Poland, we saw a 10% increase in parcel volume, reaching 188 million parcels. This is especially encouraging given the high base from the whole of 2024. Revenue in Poland grew by 13% to over PLN 1.7 billion. APM revenue outpaced volume by 2 percentage points, driven by repricing and a favorable volume mix. In the to-door segment, volume and revenue were broadly in line. Adjusted EBITDA in Poland grew 18% year-over-year to PLN 856 million, boosting our margin to 49.2% compared to 46.8% last year. This improvement reflects solid volume growth, strong cost management and a shift in volume structure. Let's now look at Eurozone results. In the Eurozone markets, we delivered 24% volume growth, reaching 83.5 million parcels in Q3. Volume growth was fueled by another quarter of expansion in the strategically important B2C and APM volumes with an additional boost from the consolidation of sending. Revenue in the Eurozone increased far ahead of volume, up 36%. This difference was driven by the sending consolidation and by a favorable mix with higher cross-border and to-door deliveries. Adjusted EBITDA margin remained broadly stable year-over-year at 14.5% in Q3 2025, supported by tight G&A cost control, offset by a higher cost per parcel resulting from Sending's to-door business. Without Sending, the Eurozone adjusted EBITDA margin would be slightly above 15%. In summary, Q3 2025 was a successful quarter for Eurozone, demonstrating the effectiveness of our strategic initiatives. Let's turn to the U.K. and Ireland, where volumes have tripled, driven by the consolidation of Yodel, which strengthens our position in both B2C and C2C. On a pro forma basis, growth remains robust at plus 19% with both to-door quality Yodel and out-of-home growing year-on-year. Parcel revenue was in line with volume growth, while total revenue outpaced volumes, thanks to the Menzies consolidation. Adjusted EBITDA has more than doubled compared to last year, reflecting strong core business performance. Adjusted EBITDA margins are higher than in Q2, though still lower year-on-year due to the impact of Yodel's integration and some additional costs related to the network launch that Michael mentioned earlier. On the next page, you can see the bridge between adjusted EBITDA and adjusted net profit for the first 9 months of 2025. Year-over-year, adjusted EBITDA was up 20%. The corresponding 29.2% adjusted EBITDA margin translates into a 15.1% adjusted EBIT margin after taking into account the increase in depreciation and amortization charges, mainly as a result of both the Yodel integration and the acceleration of our APM rollouts. Adjusted EBIT in absolute is still up 2.2% year-on-year despite the before-mentioned effects. Between adjusted EBIT and adjusted net profit, you can see the usual interest expenses related to debt as well as unrealized FX losses on intercompany loans driven by the strengthening of the Polish zloty versus the euro. Interest expenses are higher year-on-year due to a higher utilization of our revolving credit facility and higher interest part of IFRS 16. Let's now take a look at our free cash flow on Slide 23. We continue to generate healthy and strong free cash flow in Poland. In the first 9 months of 2025, Poland delivered PLN 1.173 billion, reflecting a robust free cash flow conversion rate at 47%; in line with our strategy of accelerated expansion, the strong domestic cash flow was largely reinvested into our international APM deployment and operations. We ended quarter 3 2025 with free cash flow, excluding M&As at a positive PLN 226 million. To conclude the financial highlights section, let me briefly address net debt and leverage, as shown on this slide. At the end of Q3, gross debt increased to PLN 10.1 billion, primarily driven by 2 factors: strategic investments in Yodel and higher lease liabilities. As a result, net debt rose to PLN 8.7 billion. However, thanks to adjusted EBITDA growth, this resulted in only a slight increase year-over-year in net leverage to 2.1x, yet still a slight decrease from quarter 2 2025. Now let me walk you through our outlook for the full year and share a quick update on quarter 4 trading. Our outlook for the year remains largely unchanged. We maintain our top line outlook ranges of, respectively, between 25% and 30% on volume and between 35% and 40% on revenue. While we are currently expecting to be at the lower end of the range, the final numbers will obviously be highly dependent on the success of this year's peak season. The network increased by 15,000 APMs and CapEx spending at PLN 1.9 billion also remain unchanged. We also maintain our adjusted EBITDA margin outlook for Poland at the high 40s and the year-on-year margin progress for international. The only change to our full year outlook is a temporary lower adjusted EBITDA margin projection for the U.K. and Ireland business. Referring to Michael's overview, this is on the back of the consolidation of Yodel and the impact of the investments in quality for U.K Peak. Altogether, we expect to grow adjusted EBITDA by mid-teens year-on-year. Based on October performance, our current view for Q4 2025 is as follows: At the group level, we anticipate year-on-year growth in the high 20s percent range. In Poland, we expect year-on-year volume growth at high single digit, continuing to outpace the e-commerce market. Internationaly, we are forecasting approximately 70% growth in InPost's volume year-on-year, which includes the consolidation of Yodel. And with this, let me hand over to the operator for Q&A session. Thank you.
Operator: [Operator Instructions] We will now take our first question from David Kerstens from Jefferies.
David Kerstens: I've got 3 quick questions, please. First, what drives the acceleration in parcel volume growth in Poland from 6% in the second quarter to 10% in the third quarter? And can you remind us what is now your overall market share in the Polish B2C market? And second question is regarding the U.K. It seems that based on your adjusted guidance, it looks like the U.K. will likely be at around breakeven in the fourth quarter? And how does the trajectory towards EBITDA neutral look? And I think you previously guided for a 14% EBITDA margin before Yodel as of the second quarter. Is that now pushed back further into 2026? And maybe finally, you mentioned Eurozone profitability just above 15%, excluding Sending. Do you also have that number for the U.K., excluding Yodel? Or is it now more difficult to provide as the integration progresses?
Michael Rouse: Rafal, do you want to take Poland and I'll take the..
Rafal Brzoska: Yes, I can. So it's first question regarding market share. We estimate because, of course, there are like 3 or 4 different sources of that market share estimate, specifically that it's continuously polluted with the parcels reported by Polish Post. Some of them are small parcels like letters, and there is not much clarity around this. But if we take that element out of the consideration, we expect it's now around 60% and that's clearly also fueled by faster door-to-door development because we are the most reliable and the highest ranked door-to-door provider right now, and we are literally taking share from the other vendors. So these are like the brackets, I would say, 58% to 62%, 63%, but this is our internal calculation. More we will learn once the report of the -- all the operators is going to be published, I think, May next year by the central regulatory office.
David Kerstens: And what is the -- the acceleration in the third quarter to 10% versus only 6% in the second quarter?
Rafal Brzoska: Yes. I think this is what I continuously say some quarters we will be the market. Some quarters will be 1% above the market. I remember the comments after Q2. People said this is the end of InPost. InPost is going to shrink now. And Q3 is again showing all our strengths. I mean this is not quarter-to-quarter play. This is a strategic play where at the end of the day, I can imagine there will be 2 players in Poland. The rest will die. And we observed that already in the U.K., how quickly the market has changed in recent 10 years from a market where 15-plus players were present. Now it's literally down to 4. And this will continuously happen in each and every market. There is less and less capacity on the European market; because smaller players cannot survive and the midsized players were already acquired or consolidated. Now it's the play among the biggest. We are among the biggest.
Michael Rouse: I'll take the Eurozone question first, then I'll finish with the U.K., if you don't mind, David. So on the Eurozone, just as a side note, when you look at the Eurozone profitability in Q3, when you see it topically, it shows kind of a flat, a flat margin. But as we said, excluding Sending, it's basically about 100 basis points improvement. And if you look within that, just also has additional background, there's a negative mix effect playing because the 2 markets, Iberia, Italy, which are slightly lower in margin, they're growing much faster than France, which is still growing double digit on revenue. So France and Iberia are growing significantly in margin, but the mix effect takes the total region slightly down. And that's again a very positive development in Eurozone within the Eurozone numbers. Your question was, can we isolate from the U.K., you likely do Sending? Well, unfortunately, not anymore. As Michael said, we have gone to one network. And as you go to one network, you look at basically a lot of the parameters sorting, line haul, also last mile that you combine efforts -- so it's going to be very difficult to separate one versus the other one. We will see -- still see in the future that we look at segmentation between those 2 segments, which is to-door and out-of-home. That's going to be based on cost allocations, but that is something that is very difficult to isolate as such. So that's going to be more difficult going forward. When we stay at the U.K., your calculation is correct. If you look at the adjustment, we're kind of more looking to a breakeven situation in the U.K. in Q4. As Michael already said, that's because we deliberately prioritize quality over volume and pushing volume. What does it mean for 2026? Michael already said that we have paused some of the integrations that's until Q1. We expect that Q1, Q2 will then continue that integration. It's fair to assume that, therefore, the 14% margin accretion by Q2 will be pushed back a little bit. Now interesting here is to separate percentages from absolutes, as you also have seen this year. And that's what we are quality are trying to push for. If our volume continues to triple, which it has done so far, then obviously, from an absolute EBITDA point of view, we could still make significant progress in 2026 even if we might not hit the 14% margin that we mentioned before by the end of Q2. But in absolute terms, as we said, quality first, then making sure we continue gaining volume. And then from an absolute profitability point of view, we should still have a good progress in 2026.
Operator: We'll now take our next question from Marc Zeck from Kepler.
Marc Zeck: I've got a question on the quality measures you do with Yodel. To what extent will you -- is this kind of restricted to temporary employees? Or is this something for the peak season where you say these extra costs will then come back or go down into Q1, Q2 next year? And do you expect in Q4 2026 to again have some temporary additional workers to help out with the peak season? Or is this really just more of a one-off that you need for this peak season because the network is not yet fully kind of integrated? That's my first question. The second question would be really on the competitive landscape in Poland. I guess in Q3, we had some news about DHL buying out its operations from a joint venture partner, Alibaba and Porskapolska is doing a joint venture with Olin. Is that something that you would see as a tougher competitive environment in Poland going forward? Or would you say these new joint ventures are built from a position of weakness from your competitors and you wouldn't expect that they will gain momentum by working more closely together?
Unknown Executive: Let me take the first one. I mean, I think just to clarify regarding Yodel and what we're investing in because of the -- there's 2 things there that I think are super important for everyone to understand. One; one of the objectives of one network was clearly to streamline and have a single solution under the roof and from an end-to-end process from a system and a platform point of view. Because of one of the issues identified and the pauses of Phases 2 and 3 until Q1 until we commence again, there will be, therefore, certain processes and systems that we need to maintain and double that impact certain under the roof processes. That is further compounded by the fact Yodel is a massive underinvested business and just a complete lack of automation. And that's obviously things that we need to put in place that are an ongoing program of automation that won't change overnight. And so therefore, when you take both factors together, that's why the investment needs to go in. I think there's 2 parts to that. One is clearly temporary investment like you flagged. We're putting in extra to ensure the consistence of quality. But there's also ongoing structural investment that we need to maintain that we had ambitions to remove because of the one network integration, but we won't achieve and we will pause until Q1. And therefore, those things have caused some of the delays that Javier just flagged on the outlook. Obviously, short term, still in the scheme of things because this is just literally 1 to 2 quarters. This is not like a 2 to 3 years challenge, right? So this is clearly -- we have to prioritize quality. That is the imperative, and we need to continue to build the trust and confidence that we've already gained with the customers within the U.K. already as we've seen for the volume demand.
Rafal Brzoska: Yes. Sorry, the question about Poland. Thank you, Michael. I was muted. So first of all, we try not to comment on competitors. But if you link my previous answer about consolidation on the market, the weaker players may not sustain. And then there will be less and less trustworthy capacity, specifically for peak, you can connect the dots. So we are not commenting on the competitors' moves. We try to deliver best-in-class quality and set of services for the merchants and for the end consumers, and we are winning on that. So nothing has changed. This is our strategy, and this is literally our main trajectory when you look at the growth of the APMs. Yes, we're at 9,000. When we look at the top line growth, clearly, what we're seeing is a continued acceleration of B2C. I think one thing that's been quite an important tipping point this year, considering the journey we've been on. I called it out, but I want to reinforce it, is actually now APMs now considerably dominate the market for us in terms of coverage versus the legacy PUDO business that clearly Mondial has been built on. And there's 2 factors that really jump out from that, that clearly are going to continue to drive and drive 2 things: one, the economics; and two, the customer satisfaction is clearly the flow rate, i.e., the amount of volume now going through APMs has clearly surpassed what used to go through PUDOs. And I think to build on your point, the customer impact, therefore, of that, you see when you look at the NPS survey that we just did was considerably above the rest of the market considerably at those level of numbers, which really demonstrates the journey we've gone on, to transform that business from effectively what was a low-cost, low perception to now sort of a winning proposition in the market that the B2C customers are now really starting to buy into, which it takes time, right? So you're clearly going through that massive transformation. So next year, looking into '26, I think we want to continue our ambition. We'll talk later in Q1 around our guidance, but clearly is to maintain the level of APM deployment, and I would expect us to be towards the 12,000 to 13,000 mark of locations and continuing the replacement of the PUDO as we continue to drive coverage. A bit similar to other European markets, Western European markets, I think one of the changes in the model that we've had to adapt from Poland is really what we do in what I call inner cities. and how that model develops. And sort of we're testing different concepts between London, Rome and Paris as an example right now, and we'll continue to evolve that. And what does that mean? We're looking at different sort of ways to deploy APMs, both indoors and outdoors. And clearly, one of the big factors that clearly now plays to our benefit really in the public spaces in those Western European cities is the battery operated. And really in the second half of this year, we've started rolling out those machines, and that will take a sort of an important part of our traction next year across all of the Western Europe, especially where public spaces need that type of solution.
Operator: We will now take our next question from Jack Weber from Bank of America.
Unknown Analyst: I'm standing in on behalf of Manea today. Two lines of questions. Firstly, on Yodel. With integration work paused, is there a new time line for Yodel to be accretive? I think previously, the assumption was 2Q '26. And longer term, do you think it could be increased to the same profitability level as the underlying U.K. business, which I think you stated was about 20% ex Yodel last quarter? And then just to confirm on Allegro trading patterns. So quarter-on-quarter, is the Allegro source volume still showing a similar trend, i.e., like a small negative? Or is it moving in a certain direction? And finally, do you have any comment on Allegro's recent contract terms with DPD and the precedent it could set for your renewal, specifically the possibility of no minimum volume agreements?
Unknown Executive: Jack, I'll take the first one on the overall profitability. As mentioned already before, Michael already alluded to the fact that the interventions we're taking in Q4 also mean that we're pausing some of the Phase 2, Phase 3 of the integration, which has a knock-on effect on probably quarter 1, quarter 2 next year, which means that what I mentioned before that the -- being accretive by the end of Q2 2026 is going to be pushed forward a bit. It doesn't change the end game, doesn't change what we want to deliver and that the total business will be accretive once we get through the integration, but it's reasonable to expect that, that's going to be pushed forward. As I was mentioned before, even if the percentage might not reach exactly the accretive stage in Q2, if we continue to deliver on the quality and we can continue tripling the top line on an absolute level, we should still see that the integration of Yodel will turn out to be for higher profitability in the U.K, even if short term from a margin point of view, you might see a little bit of a delay versus being accretive on a margin point of view.
Rafal Brzoska: And taking the questions around Polish market and Allegro. So nothing has changed in terms of our friends from Allegro trying to redirect predefined options, prechosen options from the consumers to their own network, which is on the same level like in the previous quarters in terms of their contract with other vendors, again, as I said, we are not commenting. This is their own will to choose with whom and on what kind of service they want to collaborate. Simply, we are fully focused on supporting them on the areas they want us to support. And we continue to build our relationship with the others as well simultaneously as we are the most agnostic player here in this most advanced out-of-home market in Europe.
Operator: We'll now take our next question from Alexia Dogani from JPMorgan.
Alexia Dogani: Just a couple of questions as well on the U.K. integration. Can you discuss a little bit how you're positioning the price point at the moment for APM deliveries? And where are you on the cost curve for these APM deliveries? Maybe if you can kind of disassociate from the Yodel network? And then have you seen kind of increasing appetite from merchants in the U.K. to switch some of the deliveries to APMs already? And then finally, can you give us a little bit of a guide around restructuring costs? Obviously, in 3Q were higher than Q2. But obviously, you're alluding to that the integration kind of pausing for a couple of quarters. So should we expect integration costs to be lower in Q4 and then ramp up again Q1, Q2? And how long do you think these integration costs will endure?
Michael Rouse: Javier, I can take the first one and then maybe pass to you for the second one. To reinforce, I think, to what we're seeing now from an integration and customer merchant uptake, I think is super positive from an APM delivery point of view. Clearly, the acquisition of Yodel was really about giving us -- one of the pillars of that was really about giving us the footprint, the scale and the coverage in the U.K. and Ireland in order to really have those merchant conversations. One of the -- clearly, the benefits now is clearly we have a to-door business that really merchants now can allocate to us for driving APM conversion. And when you look at the unit economics that you're alluding to in terms of pricing structure, it's very similar to how we want to -- we have learned from Poland, where there's a price differential, which ranges from about 20% to 30% for APMs versus to-door. And that really provides the leverage for merchants to really want to test, learn, adopt, change the checkout. And when you look at the merchants now in the last quarter where we've gone live, and you can see that impact coming through in our out-of-home growth, specifically on B2C, you've now merchants in the U.K. like Debenhams new marketplace, ASOS, Boohoo, to name a few. Actually, Pandora went live this morning as an example, and where brands now are really seeing the benefit they've seen of what in other markets, but more importantly, in the U.K., they now have the option. And that option is driven by the fact we obviously have to-door offer, but now can complement very strongly with APM, brings down the risk for the merchant and clearly, the price differential then allows them to really start to test and learn and drive that consumer behavior change. So I think you see very clearly an increasing appetite. The numbers themselves clearly demonstrate that -- and I think what's also critical clearly is to deliver that quality and really balance the quality of to-door, which still is a primary part of the legacy Yodel business, but now really developing the APM offer for that whole merchant base, which is really the winning proposition. And to reinforce, we're not building a to-door business. We're really APM first, but clearly, to-door increases the funnel for us to work and really develop our merchants to change the behaviors in the market. Javier?
Unknown Executive: Yes. Thank you, Michael. On the question of restructuring, just to get back also to the numbers. So if you look at the details of the report that we've sent out, you see that there is about restructuring of PLN 55 million in Q3 and about PLN 99 million in the year-to-date. First of all, the majority of that is the U.K., right? So that is basically U.K. restructuring. And if you go back to our conversation last quarter, we talked about Yodel being more front-loaded. You might argue that but hold on Q3 is still significant, but it is front-loaded in terms of the original optimization of Yodel by itself. If you look in Q2, we spent the majority of the restructuring was exactly on restructuring, people, consolidation of warehouses. That's what went in there. In Q3, on those items, the restructuring is much, much lower. But what comes in Q3 is the cost we have on One network and the restructuring of One network, which is not anymore, let's say, a Yodel specific restructuring. It is how to bring the 2 operations together. And what was left specifically on Yodel is the rebranding where we spent still some significant money on. So there was a Yodel restructuring front-loading in Q2, which was really kind of optimizing Yodel itself. The restructuring now in Q3 is more as we combine the 2 networks where we have got more restructuring. As it goes forward into next year, Q4 next year, we're still going to see some impact of our network in Q4. As we head into Q1, we should see lower effects coming through. We'll still have to see what happens in Q4 with peak and the learnings we get from that. But I would assume that you will see a declining trend in as of 2026 on the restructuring part itself.
Operator: It appears there are currently no further questions in the phone queue. With this, I will hand over to Rouse for any webcast questions. Over to you, Rouse.
Unknown Attendee: Thank you. We have a number of webcast questions. Our first question is, in the U.K., how would InPost deal with losing the Collect+ network if IDS acquires 100% and forces InPost out?
Michael Rouse: I can take that one. I think the first thing clearly is there is no risk even with that investment from IDS because of our current contract protections. And just to reinforce, PairPoint is still a shareholder in the Yodel entity, even though there's consolidation from the legal entity. So there are certain protections that we have. But obviously, our long-term ambition is APM first. And clearly, as we look at the near term across '26, we'll continue to develop the network and from that construct. So really no risk, no concerns. I can understand why the question is read with the publicity that was put out there.
Unknown Attendee: Thank you. Our second question, how is InPost differentiating itself from its competitors in its main markets? Is competitive pressure increasing, particularly in the U.K.? Any impact on operating margins?
Michael Rouse: No. I mean, look, our competitive differentiation and our flywheel leads with our consumer centricity. We've learned that from our Polish North Star, and that remains at the heart of what we're building and how we're developing our proposition. And clearly, when you look across all our markets and how we have really started to position InPost, we taking those Polish learnings, they continue to repeat in every single market. The French data reinforces that in terms of what we've just seen on the NPS study. A market like the U.K. from a publicity point of view is competitive. But clearly now at 12,000 lockers, we're nearly, as I said, 4x larger than the nearest competitor outside of Amazon. And our pace of deployment continues to collectively outpace everyone else's combined. So we continue to reinforce our network, our coverage, our consumer centricity and really quality at the core of what we're doing, again, with these decisions around the U.K., we will not compromise on it. And while others will chase volume and take that across peak, we will not, and we will make sure we deliver on the promises we set out to build the confidence and trust, both firstly on the merchant and then ultimately with the consumer. So those points of differentiation in our flywheel continue to be the same, albeit the order in some markets may be slightly different because of sequencing and where we're coming from as a starting point, either organically or inorganically. But those key pillars remain consistent across all markets and clearly demonstrate why we're winning.
Unknown Attendee: Turning to France. As you reach 50%, 60%, 70%, 80% APM flow rate, how will this impact margins? What do you see as a likely pathway in flow rate over the next 3 and 5 years?
Michael Rouse: Yes. I'm happy to take that, Javier, feel free to add if you think there's anything else. Look, flow rate is important, and I think a simple way to really for everyone on the call to understand it, albeit it is more complicated, and I'll add some points to that. But the simple way to think is if we are having to pay a PUDO somewhere between $0.30 and $0.40 per parcel, every time we convert a PUDO to an APM, we make that saving on our structural cost. So that clearly contributes. And clearly, the more we drive APM first, clearly, the more savings we make in the margin. However, there's more elements to that, that clearly need to play through around density, stop efficiency and courier behavior, the clearly benefit that we see the more we -- the consumer drives and usages to APM, the more impact that has in our last mile cost and efficiency also. That also feeds through to other elements, which is customer service contact rate and other elements in terms of quality where customer delivery is superior to PUDO in that component. So all things combined, it's not that I can sit here and tell you what the margins will be when it goes to 50, 60, 70 because it's not as binary as that calculation, but to probably help, you're basically saving $0.30 or $0.40. But clearly, there's further benefits, the more density and scale we build.
Unknown Executive: Yes. And to build on that on the profitability, as I mentioned also during the call, is that if you look at the France business, it's been growing significantly in Q3, revenue more than double digit, and we've also seen about a 200 basis points improvement in profitability. So this is, again, where we say the flywheel is starting to work. You get more B2C more into APMs and you see those profit margins basically taking the benefit of that. As I said, it's a bit hidden in the Eurozone numbers because of the mix effect between the country, but France itself has clearly over the last 12, 18 months shown a significant margin recovery as we basically increase flow rate and get APMs and B2C stronger.
Unknown Attendee: Can we expect that you won't undertake another M&A until Yodel is cleaned up?
Rafal Brzoska: Happy to answer that strategic question. So yes, that's the main assumption that it's like with Mondial Relay nothing new, always something that may pop up unexpectedly. But in 90%, everything what we've learned before the transaction is materializing now. Although really the surprising element was the capacity constraint with much higher demand, which purely came by surprise. So the answer is yes. First of all, we want to strengthen U.K. presence, the most important market for us, the biggest market in Europe. We are #3 operator right now with a lot of potential. So this is like 80% focus of the M&A and transformation team.
Unknown Attendee: What are your thoughts on the missing country in the network map of yours, Germany?
Rafal Brzoska: I think it resonates with what I said literally before. Germany is a very important market in terms of European e-commerce economy, but no plans at this stage. But clearly, if we may find a way to team up with partners across Europe, already present on different markets. We are teaming up with them. And already, maybe you haven't noticed that, but we are delivering parcels in Germany; cross-network parcels in Germany are delivered with third-party providers in Germany, and the flow is on a monthly basis, increasing month by month. So this is not a pure white spot. This is a market where we don't have physical InPost presence, but for our cross-network operations, we are very active there already.
Unknown Attendee: What is the current utilization rate of APMs in the U.K. average utilization over the first 9 months of 2025?
Michael Rouse: I can take that. It's very simple, 80% -- so continues to be very strong, continues to run actually at utilization rates actually higher than Poland at peak to give you an example. So it really demonstrates the demand, but also demonstrates why we continue to accelerate our U.K. deployment and our European deployment because we continue to see very strong utilization rates across the board as people really start to adopt the APMs as part of their e-commerce journey in these markets.
Unknown Attendee: What level of EBITDA margin in the U.K. and Ireland segment should we anticipate for 2026? Please refer specifically to EBITDA profitability rather than adjusted EBITDA.
Unknown Executive: So I'll take that one. Look, it might sound a little odd being the CFO, but at this point in time, our focus is not yet on that. Our focus is on quality in peak because we know that will be absolutely essential to basically continue building volume and taking market share in the U.K. onto the door segment. Therefore, we first need to really understand what's going on, on peak, and then we'll start looking into the guidance for 2026, and that guidance would normally come early 2026. We're going to give guidance on that. It's too early apart from the comments we made before on margin, margin progress, it's too early to comment on that.
Unknown Attendee: How are efforts going on reaching partners to create a pan-European cross-border delivery offer to merchants?
Rafal Brzoska: Happy to answer that question. A little bit already topped that a few minutes ago. So we are very efficient on that. We are under a few processes where we integrate third-party providers. And you may expect pretty soon first announcement live with a reputable partner responsible for across network deliveries in a few countries. So our presence will definitely increase geographically.
Unknown Attendee: Thank you. What level of interest cost per quarter should we expect since Q4 2025 onwards, taking into account recent refinancing of bonds?
Unknown Executive: I'll take that one. So we have successfully refinanced in 2025. If you take the total year, we have both refinanced our normal loans, and we have now refinanced the bonds successfully in the market at 4%. So you expect interest expenses around 4%. It depends on how much of the revolving credit facility we use because that's at 6%. So it's going to be a mix between that 4% and 6% depending on the utilization of the revolving credit facility.
Unknown Attendee: Thank you. We have a final question. Do you feel comfortable at current net leverage levels? Would you be able to provide a through the cycle target?
Unknown Executive: Yes. We've mentioned that before a number of times. We feel comfortable at 2 because it allows us to move in 2 directions. It allows us to move higher in case we would need to basically or we would like to go into any further transactions. As Rafal said, nothing planned at this point in time with a focus on the U.K. market, combining high profitability, but also with exceptional customer loyalty. Eurozone, our B2C volumes and locker network are expanding rapidly while we continuously optimize our cost base and execution. And as for the U.K., many questions today, despite some temporary short-term operational headwinds, guys, which we've been transparent about, we are 200% convinced that we are on the right path. The integration of Yodel is a strategically pivotal move. And let me be very clear here. InPost won the Polish market, not because of thousands of metal boxes. InPost won the Polish market because quality was always the top priority. And there was never any compromise on that. And that will not change in the U.K. That will not change on any market ever, as long as I'm the CEO. We already see the benefits, accelerating volumes, new customer onboarding, strengthening presence of our brand. And we have laid down the operational foundations needed to build One network at scale and with confidence. jointly, 3 brands, InPost, Menzies, Yodel, we firmly believe that what we are building in the U.K. today will secure a strong long-term market position for InPost on the most important market in Europe. We make decisions with a medium- and long-term view, not for the sake of short-term optics quarter-by-quarter. And we are maintaining investment discipline, healthy balance sheet, strong free cash flow in our mature markets, reinvesting it where we are building scale like in the U.K. There is no change in our strategy. We remain fully committed to executing on our long-term vision and our ambition is unchanged to be the #1 e-commerce logistics provider in Europe, also in the new era of AI. That more than half of our revenues now come from outside Poland is no coincidence. It is the result of deliberate strategic execution. So we have the infrastructure, we have technology, and we have people to continue on growing the market, and we intend to keep doing so. So, as we enter Q4, we are fully prepared for peak season and confident as well in the operational maturity of our model. So thank you very much for your continued trust and partnership. And yes, we look forward to speaking with you again in February. See you guys.